Operator: Good morning, everyone, and welcome to the Sally Beauty Holdings conference call to discuss the company's fourth quarter and full year fiscal 2025 results. All participants have been placed in a listen-only mode. After management's prepared remarks, there will be a question and answer session. Additional instructions will be given at that time. Now I would like to turn the call over to Jeff Harkins, Vice President of Investor Relations and Treasurer for Sally Beauty Holdings.
Jeff Harkins: Thank you. Good morning, everyone, and thank you for joining us. With me on the call today are Denise Paulonis, President and Chief Executive Officer, and Marlo Cormier, Chief Financial Officer. Before we begin, I would like to remind everyone that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-Ks and other filings with the SEC. Any forward-looking statements made in this call represent our views only as of today, and we undertake no obligations to update them. The company has provided a detailed explanation and reconciliations of its adjusting items and non-GAAP financial measures in its earnings press release and on its website. Now I would like to turn the call over to Denise to begin the formal remarks.
Denise Paulonis: Thank you, Jeff, and good morning, everyone. Fiscal 2025 was a meaningful year for the company, highlighted by strong operating and financial performance in the context of a rapidly changing and uncertain macro environment. We are pleased to report both Q4 and full-year results that exceeded our expectations. For our fourth quarter, we delivered comparable sales growth of 1.3%, 100 basis points of gross margin expansion to 52.2%, adjusted operating margin of 9.4%, and a 10% increase in adjusted diluted earnings per share to $0.55. On a full-year basis, we delivered $3.7 billion in revenue, positive comparable sales, gross margin north of 51%, and adjusted operating margin of 8.9%, which is up 40 basis points to the prior year and above the high end of our guidance range. Adjusted diluted earnings per share came in at $1.9, representing 12% growth compared to last year. Our core strategic pillars drove customer engagement and sales, contributing approximately 260 basis points of comp sales growth for the full year. The business also generated strong cash flow from operations, of $275 million, which we deployed towards investing for growth, further strengthening our balance sheet with $100 million of debt pay down, and returning value to shareholders through more than $50 million of share repurchases. These results are a testament to the executional excellence across our organization and demonstrate the underlying strength of our business model. We have resilient customers, defensible categories, and strategic initiatives built to drive growth and increase profitability. Touching on some of the strategic highlights of the year, we advanced the business through several important initiatives. We maintained our leadership position in color, delivering growth of 7% in fiscal Q4 and 4% for full year 2025. We delivered on our promise of customer centricity, driving strong growth in our licensed colors on demand consultation service, by delivering standout education and advice. We extend our reach and fuel digital growth with the expansion of our marketplace strategy, adding Uber Eats to our already strong roster of partners, including DoorDash, Instacart, Amazon, and Walmart. We delivered a continuous pipeline of product innovation, adding new powerhouse brands like K18 at BSG, and expanding our partnership with Sauce Beauty, as well as adding newness in color from Wella and IroIro at Sally. We launched a comprehensive Sally brand refresh, which we are now calling Sally Ignited, designed to transform the business from a trusted beauty supplier to a modern dynamic beauty powerhouse. We generated an incremental $46 million of benefits through our Fuel for Growth program in fiscal 2025, building our cumulative run rate benefits to $74 million. Of that cumulative total, approximately $42 million flowed to the bottom line, with the remaining $32 million being reinvested in the business. And lastly, we are responsible stewards of capital focused on building long-term value for all of our stakeholders. Entering fiscal 2026, we have proven our ability to navigate a complex and dynamic external backdrop. And we will continue to execute leveraging the power of our competitive and structural advantages, our global scale, our compelling value proposition, and the strong fundamentals of our business to drive top-line and bottom-line growth. Throughout the year, our teams will focus on actioning at four key growth drivers: understanding and activating the customer, unlocking and harvesting digital value, differentiating with product assortment and innovation, and accelerating new growth pathways. I'll discuss each of these. Our customer activation strategy is focused on acquisition, retention, and share of wallet. Much of our success is rooted in our customer-centric capabilities. We've always been intensely focused on delivering unmatched levels of education, service, and advice. Today, we are deepening our understanding of customers beyond the transactional view. By leveraging our rich customer data, advanced analytics, such as our enhanced media mix model, and robust customer research, we can better target high-potential segments. This will enable us to improve customer engagement across touchpoints, that include performance marketing and personalization at both Sally and BSG, as well as refresh brand marketing, and our licensed callers on demand offering at Sally. On the performance marketing front, we are refining our paid search, social media, PR, and influencer strategies, informed by our enhanced media mix model to acquire new customers and drive sales growth. When it comes to personalization, we are focused on expanding our personalization experiences across all customer touchpoints, deepening our customer insights to drive the richness of the personalization decisioning, and targeting and strengthening our omnichannel communication and customer connection. A great example of our refined marketing campaigns is our plan for holiday at Sally. We're bringing elevated marketing to our stores and digital channel that has contemporary, unified look and feel designed to resonate with today's beauty consumer while staying true to Sally's brand heritage. Our holiday messaging platform, "skip save while you skip the salon," was created based on our latest customer data and insights. And represents a tactical shift from the buying bulk promotions of recent quarters. Additionally, at Sally, we are embedding licensed colors on demand, or LCOD, into our brand marketing strategy to reinforce our key pillars of expertise and accessibility. Our leading indicators offer a compelling view of the lifetime value of our LCOD customer. Twelve-month spend is almost 2x higher than non-LCOD customers, including about two additional transactions per year. New and reactivated customers comprise more than 50% of the LCOD customer base, and the number of consultations at fiscal year-end was averaging a record 5,000 plus per week. Additionally, our licensed colors are strengthening their knowledge of the care category and beginning to test care consultations where we're seeing positive early response. Moving now to our digital strategy. On the Sally side, there's a clear opportunity to build on the momentum of our marketplaces. Success. Which continues to be a key driver of e-commerce sales at Sally US and Canada. In fiscal Q4, Sally US and Canada's e-commerce sales increased 34% over the prior year and comprised 9% of total sales. Our teams are focused on unlocking greater digital value through marketplace expansion, leveraging our speed to market delivery capabilities, and strengthening our digital foundation. This will include website and app enhancements, that feature an elevated beauty persona, modern navigation, a more seamless customer journey designed to drive increased engagement and conversion. On the BSG side, mobile app usage accounts for a significant portion of our digital traffic. With increasing reliance on our app for education and transacting. We are targeting 2026 for a substantial update to the BSG app and e-commerce platform designed to deliver improved user experience and enhanced personalization. We believe this will fuel long-term benefits including higher conversion, increased retention, and engagement, and enhanced brand loyalty. We're also in the early stages of developing an exclusive digital ecosystem designed to expand BSG's relationship with a stylist and increasingly integrate into their businesses. This will include a centralized hub for education, community, and services, one that will enable us to leverage data to continuously create incremental value for both our stylists and brand partners. Turning to product assortment and innovation. For the Sally segment, we are focused on driving multi-category performance, by continuing to bring in new brands and products while expanding and nurturing categories beyond color. The most obvious opportunities exist in the strategic categories of care and nails, where we already have a strong presence and authority. In addition, we added fragrances as a new category in our top 1,000 Sally US stores in November. We're also leveraging our higher margin own brand offerings and have a number of initiatives on deck for fiscal 2026. First, we are refreshing and relaunching some of our key brands, including Texture ID, Inspired by Nature, and ION Semi Brace. And we're bringing infrared innovation to the market with a dynamic collection of ION styling tools. We believe that building momentum with our higher margin owned brands will enable us to drive increased customer retention and frequency at Sally, fueling long-term growth and profitability. For the BSG segment, we are pleased to serve as a trusted and valued resource. To our BSG stylist who are always seeking the latest and greatest in trends and innovation. With our ability to reach nearly every stylist in the US and Canada, we provide a valuable platform for brands to grow. And we have found that one great brand begets another. Of note, innovation drove upwards of 30% of BSG's total hair care sales in fiscal 2025. For perspective, that's up approximately three times from just a few years ago. In fiscal 2026, we have another exciting lineup of innovation coming. Key trends include glossing, bonding, smoothing, molecular repair, and scalp care. And we will be in stock with highly desired brands like Briogeo, Color Wow, Danger Jones, K18, Moroccan Oil, Schwartzkopf, and Unite. In addition, we see incremental opportunities for BSG to build upon its strong track record of expanding its distribution rights. This can take shape by partnering with existing brands, pursuing opportunistic acquisitions, and adding new brands, all strategies we successfully actioned in recent years. Lastly, looking at our strategy for new growth pathways. For our Sally business, we view Sally Ignited as a true game changer for our platform going forward. Sally Ignited is a comprehensive initiative encompassing both physical and digital refreshes, category and brand expansion, and immersive experiences focused on discovery and community. We see a tremendous opportunity to supercharge a fundamentally better store experience, especially as we double down on multi-category expansion, continue to deliver a relentless flow of innovation, and lean into momentum in areas like LCOD and marketplaces. Our mission is to ensure that the Sally brand emotionally connects with our customers while creating a discovery-focused omnichannel, specialty beauty experience, all enabling us to more effectively compete in today's product-obsessed beauty marketplace. At the end of fiscal 2025, we had completed 30 store refreshes. The stores are modern, on-trend, open, warm, and inviting. With a new layout that increases the ease of wayfinding. We've continued to see customers spending more time in-store and cross-shopping categories at an increased rate. Key indicators, including UPT, and ATV, are trending above the rest of the fleet. We are planning to bring Sally Ignited to an additional 50 locations throughout the remainder of fiscal 2026. Because these refreshes are mostly occurring in stores that were previously slated for updates or relocation, the investment is not incremental to our planned capital spending for the year. Looking further ahead, we continue to have conviction in the opportunity to refresh up to 1,500 stores for approximately two-thirds of the Sally fleet. Sally's strong brand equity and sixty years of heritage certainly provide a powerful foundation from which to build. In fact, we are incredibly proud that just last month, Sally's was ranked as the number three beauty retail brand in the prestigious Alice Partners consumer sentiment index for 2025. Turning to our BSG business. We're looking at new category expansion. We're focused on expanding BSG's addressable market by entering adjacent product categories, either organically or through acquisition. We recently began testing a couple of brands in the skin and spa space, while pursuing aesthetician. More to come on this in the coming quarters. Now moving to an update on our Happy Beauty initiative. Which currently has 20 stores. We've leaned into Happy Beauty as an indie brand headquarters, known for on-trend brands and key categories such as skincare and fragrance. Leading up to the holiday season, we recently completed key merchandising updates and implemented new marketing tactics, including increased influencer engagement and messaging, highlights indie brands, test before you buy, dupes, and value. We're putting a lot of energy behind the holiday selling season, and believe that coming out of that period we'll be better positioned to understand the trajectory of the concept and the optimal path forward. Underpinning the top-line growth drivers I discussed is a core discipline focused on profitability unlocks. In fiscal 2025, we generated meaningful operating efficiencies through our Fuel for Growth program. This work is ongoing and encompasses merchandising, sourcing, supply chain, best cost location, and non-trade spend. We have carried out deep dives and are continuing to extract value. In the first two years of the program, we generated cumulative run rate gross margin and SG&A benefits of $74 million, above our original expectation for $70 million, and we expect to capture cumulative run rate savings of $120 million by the end of our current fiscal year. Key levers we're focused on include SKU optimization, further supply chain optimization, promotion, and pricing. The expected benefits will continue to be an important contributor to gross margin and bottom-line profitability in fiscal 2026. Looking further ahead, we're committed to delivering significant value for our customers, associates, and shareholders. Our focused strategies and consistent execution position us to achieve compounding growth while the strength and flexibility of our balance sheet will enable us to remain disciplined capital allocators. As part of our long-range planning, we are introducing financial targets to reflect our three-year planning horizon ending with fiscal 2028. On an annual basis, we expect to generate net sales growth in the range of 1% to 3%, adjusted operating earnings growth of 3% to 5%, adjusted diluted EPS growth of at least 10%, including approximately 50% of free cash flow going to share repurchases, capital expenditures in the range of $90 million to $120 million, and free cash flow of approximately $200 million. Our foundation is strong, and our focus is clear. Our fiscal 2025 performance underpins our confidence that we have the strategy, capabilities, and team in place to scale and win with significant runway for growth and value creation. I'll turn the call over to Marlo to discuss the financials.
Marlo Cormier: Thank you, Denise, and good morning, everyone. We concluded the year with strong business momentum, enabling us to deliver fourth quarter and full-year results ahead of our expectations on the top and bottom line. Our performance reflects our disciplined execution and commitment to long-term value creation. Turning to the details of the fourth quarter. Consolidated net sales increased 1.3% to $947 million, which included 40 basis points of favorable impact from foreign currency translation, while operating 38 fewer stores compared to the prior year. Consolidated comparable sales increased 1.3%. On the selling side, we saw strong growth in our core category of color, our digital marketplaces, and from our Sally e-commerce site. At BSG, color also performed well. And extended distribution and new brands drove another quarter of positive comp sales. Global e-commerce sales increased 15% to $105 million and represented 11% of total net sales. We maintained our strong margin profile in Q4, with gross margin expanding 100 basis points to 52.2%. The year-over-year improvement is primarily attributable to higher gross margin in both business segments driven by the benefits of our Fuel for Growth program. We expect to maintain our healthy margin profile in fiscal 2026, and anticipate we can continue to offset potential cost of goods impacts related to tariff increases through cost sharing with vendors, sourcing optimization, and modest price increases on select products. Looking at expenses, Q4 adjusted SG&A totaled $405 million. That's up $14 million to last year, reflecting higher labor costs, bonus expense, rent expense, and IT costs. Partially offset by $7 million in Fuel for Growth benefits. In total, we captured an incremental $13 million of pretax Fuel for Growth benefits to both gross margins and SG&A in Q4. Enabling us to deliver an incremental $46 million pretax benefits full year fiscal 2025. This translates to $74 million of cumulative run rate benefits since we initiated the program in fiscal 2024. Of that amount, gross margin benefits totaled $32 million coming from the optimization of our supply chain, vendor partnerships, and promotional efficiencies. SG&A benefits totaled $42 million coming from transportation efficiencies, outsourcing, and reductions in non-trade spend. Approximately $32 million was reinvested in the business to support our strategic initiatives, with $42 million flowing to the bottom line as profit or to offset inflation. We anticipate delivering an additional $45 million in run rate savings in fiscal 2026, with about two-thirds coming from gross margins and a third from SG&A. By the end of fiscal 2026, we expect that our cumulative run rate savings will be approximately $120 million. Returning to the P&L. Pleased to report that bottom-line results exceeded our expectations driven by gross margin expansion and cost reduction. Adjusted operating margin came in at 9.4%, and adjusted diluted earnings per share was $0.55, a 10% increase over the prior year. On a full-year basis, we delivered adjusted operating margin expansion of 40 basis points to 8.9%, adjusted diluted earnings per share growth of 12% to $1.9. Moving to segment results. Sally Beauty net sales increased 1.4% to $542 million, which included 80 basis points of favorable impact from foreign currency translation while operating 33 fewer stores versus a year ago. Comparable sales increased 1.2% with comparable transactions flat and average ticket up 1%. For the global Sally Beauty segment, color increased 8% while care declined 7% compared to the prior year. E-commerce sales increased 23% to $47 million and represented 9% of segment net sales for the quarter. In addition, e-commerce sales for Sally US and Canada grew by 34%. Gross margin in our Sally segment increased 90 basis points to 61.3%, driven primarily by higher product margins from the benefits of our Fuel for Growth program. Segment operating margin came in at 15.9%. Looking at the BSG segment, net sales increased 1.1% to $406 million, which included 10 basis points of unfavorable impact from foreign currency translation while operating five fewer stores versus a year ago. Comparable sales increased 1.4% with comparable transactions up 6% while average ticket was down 4%. From a category perspective, color increased 5%. Care was up 1%. BSG e-commerce sales increased 8% to $58 million, representing 14% of segment net sales for the quarter. Gross margin at BSG expanded 100 basis points to 40%, primarily reflecting higher product margins from the benefits of our Fuel for Growth program. Segment operating margin was strong, coming in at 12.6%, up 160 basis points to the prior year. Turning to the balance sheet and cash flow. We ended the year in strong financial condition with $149 million of cash and cash equivalents and no outstanding borrowings under our asset-based revolving line of credit. Inventory levels totaled $988 million, down 5% versus last year. Entering fiscal 2026, we remain focused on driving process improvement to enable faster inventory turns and improve working capital productivity. Fourth quarter cash flow from operations totaled $121 million, while free cash flow totaled $78 million. In Q4, we utilized excess cash to repay $21 million of term loan debt, bringing our net debt leverage ratio at year-end down to 1.6 times. We also deployed $20 million of cash to repurchase 1.7 million shares of stock under our existing share repurchase program. On a full-year basis, we generated $275 million of operating cash flow and $216 million of free cash flow, allowing us to repay nearly $120 million of term loan debt and repurchase more than $50 million of our shares. Turning to our fiscal 2026 guidance. On a full-year basis, we expect the following: consolidated net sales in the range of $3.71 to $3.77 billion, which includes approximately 50 basis points of favorable impact from foreign currency rates. Comparable sales flat to up 1%. Adjusted operating earnings of $328 million to $342 million, adjusted diluted earnings in the range of $2.02 to $2.10 per share, which assumes that 50% of free cash flow goes towards share repurchase. Capital expenditures are expected to be approximately $100 million. And free cash flow is expected to be approximately $200 million. In addition, we expect our store count to be approximately flat, including about 40 new stores, 40 store closures, and 50 relocations. For our 2026, we expect the following: consolidated net sales in the range of $935 million to $945 million, which includes approximately 40 basis points of favorable impact from foreign currency rates. Comparable sales to be approximately flat, adjusted operating earnings of $75 million to $80 million, and adjusted diluted earnings in the range of $0.43 to $0.47 per share. In summary, we are pleased to finish the year strong and look forward to making meaningful progress in fiscal 2026 toward the long-term financial targets Denise outlined. We appreciate your time this morning. Now I'll ask the operator to open the call for Q&A.
Operator: Star 11 on your telephone and wait for your name to be announced. To withdraw your question, please press star 11 again. Our first question comes from Oliver Chen with TD Securities.
Oliver Chen: Hi, Denise and Marlo. On the quarter, you just had, would love to hear about what were some of the key factors that helped drive the upside at both at each division. And then as we think about the comp complexion this quarter, did ticket run similar to what you expected in terms of the negative ticket trends at BSG relative to the positive ticket trends at Sally. And then would just love to hear your thoughts on your comp guidance relative to occupancy leverage. What do you see happening in terms of your ability to leverage some of the fixed costs with the comp outlook? Thank you.
Denise Paulonis: Good morning, Oliver. We are very pleased with performance in Q4. In terms of factors that drove the performance and drove the upside, I think what's really notable in the quarter is the strength of color in both of our businesses. So in the quarter, color was up 7% overall, 8% in Sally, and 5% in BSG, really speaking to the strength of the DIY kind of pro product, in our Sally segment and then the importance of the brands that we carry on the BSG side. And I think underlying that, the other things that we saw of strength, marketplaces continued to overperform on the Sally side of the business, which we are pleased to see. Innovation, in BSG helped to drive care back into positive sales growth territory, which we were pleased to see as well. And then finally, customer activation. The strength of the LCOD program with, you know, 5,000 to 6,000 consultations a week and a nice conversion rate in there, was a real benefit, comp by personalization. So thrilled with the outcome, and I think there's a lot of things there that are positive momentum that will continue with us into fiscal 2026. When we think about the ticket, particularly, I think you commented on the ticket in BSG. It was not surprising at all to us, that ticket was down and transactions were up. The behavior that we're seeing from that stylist is they still have a fairly healthy book of business. But they continue to buy what they need when they need it. So they're more likely to come in more frequently and pick up those items, which then in turn makes it for a little bit different lower basket. But in total, you know, delivering a little over 1% sales growth, 1.4% comp growth on the BSG side, the relationship with that customer is still extremely healthy. Then, Marlo, maybe you'll talk a little bit about the occupancy leverage, SG&A, for the coming year?
Marlo Cormier: Yes. So for the coming year. In Q1, you know, the top line is a bit under pressure from some of the government shutdown, so we'll see a little bit of deleverage there. But as we go through the year, we'll see that leverage improving, and on a full-year basis, we would expect leverage to be fairly similar to last year.
Oliver Chen: It'd be helpful to ask you a bit about the consumer environment because it's pretty bifurcated as we see with more pressure in the middle and low. And as you called out, sentiment and government shutdowns on people's minds as well. How is that interplaying? And what might drive comps better than your guidance that feels somewhat conservative, but I know there's a cautious optimism in terms of what you're seeing with the top line. And then second question on the long-term outlook, on your net sales growth of 1% to 3% to operating earnings growth of three to five? Are the leverage points we should think about in that algorithm? Thank you very much on the margins.
Denise Paulonis: Absolutely. So let me start with on the consumer front. I think what we've seen today is that the Sally customer is resilient. Continues to respond well to a lot of the key initiatives we have in play, like licensed colors on demand, marketplaces, innovation. We also see the stylist business being nice and stable. Certainly, look forward to them having a very positive holiday season. Underneath all of this, I'd say in particular on the consumer side, we are seeing consumers remain choiceful. That's not new news. And for us, choiceful means continuing to spend in the core color category, but spending a little lighter in styling tools and leaning into value a bit more. We did see a bit of a slowdown on the low-income customer coming into our stores as we've navigated through the forty-plus days of the government shutdown. At this point, we hope that that's transitory behavior. We're certainly watching and monitoring what is happening with that consumer base. But I think if we step back, we just feel really good about the momentum in the business with strategic initiatives driving over 250 basis points of comp this past year. And those continuing into the new year. So focused on innovation, performance marketing, personalization, licensed colors on demand. If we said what could help a little bit more and drive a little bit outsized growth, we always have the potential on the BSG side for expanded distribution, tuck-in M&A that continues to expand our reach, with brands existing or new brand partners that is out there. You know, we're also excited with the work that we're doing on Sally Ignited. We're starting to understand with Wabak just in a few stores today what things we're learning that we can lift and shift. So for example, putting a thousand Sally stores our fragrance assortment kinda coming into holiday. So I think those are things that could trend positive. You know? But we think with what we just witnessed with the government shutdown, it's prudent in the way that we're thinking about Q1, but feel great momentum for the full year. And then, Marlo, do you want to comment a bit on the sales to profit equation, I think, Oliver asked about?
Marlo Cormier: Yeah. And I think you were asking to the longer term. And so I think the growth on the top line, on top of that, where we see additional leverage coming and additional growth opportunity the bottom line is certainly through the continuation of our Fuel for Growth program. We have, you know, most of the heavy lifting will be done through the end of fiscal 2026, but it's the muscle memory that will remain within our organization and continue as we go forward. So we'll continue to optimize and leverage the capabilities of our Fuel for Growth program. For incremental opportunities to drive savings for both reinvestment and flow through to the bottom line. And then on top of that, our own brand performance continues to drive those results.
Oliver Chen: Thank you. Best regards.
Operator: Our next question from Susan Anderson with Canaccord Genuity.
Susan Anderson: Hi, good morning. Thanks for taking my questions. I was wondering if maybe you can give us an update on the Sally store remodel program. How I guess, where are you at with the store remodels? Have you completed any beyond the Orlando market? And then maybe if you could just talk about where they're performing versus the core in the Orlando market, and then also if you've completed the ones outside. Thanks.
Denise Paulonis: Sure. Happy to provide an update there. So as of this quarter, we kind branded our Sally brand refresh as Sally Ignited. And we think it's a great representation of how our reacting when they're coming into our new stores. Just as a reminder, what are we really doing? It's a physical and digital refresh. It really is about creating a more immersive experience that lets get more discovery in community. The store update in particular really has a new layout. Nail is displayed in a rotunda that's very dramatic as you come into the store. There's a discovery bar to help you in hair color choices. It's fixtures built for a purpose to shop as a specialty retailer rather than a supply store. And there's a cash wrap in the sense that really helps our associates deliver the high-quality service that customers have come to expect with us. Where we are today, at the end of the fiscal year, we had about 30 stores open, which included the full Orlando market as well as a handful of stores in other locations throughout the country. We're doing both of those models because Orlando will let us test kind of a full marketing program tied with the new program. And then when you think about the drop-in markets, we'll have a great ability to read APT results against specific changes that we're making in the stores to understand what's working, what we might do differently. We plan for 50 stores, fiscal 2026 that will let us continue to extend that reach and test and try. Great news is that's within our capital program for the year, because we would have been doing remodels or relocations in a number of stores, and we're really doubling down on Sally Ignited. Specifically on what we're seeing. We love that we're seeing customers have higher dwell time and shop cross-category when they come into the store, which is a great part of the design that we were looking to do. So that hair color customer exploring a nail, that textured hair customer looking and thinking differently about styling tools is what we were trying to drive. In turn, we are seeing UPT as well as ATV. So our units per transaction and our average transaction value higher than the rest of the fleet. That's very encouraging to us and what we hope we'll continue to see as the test progresses. You know? And I'd be remiss not to say, you know, we are working to lift and shift things that we're finding that are working quite quickly into some of our core fleet. A great example of that is the expansion of fragrances into a thousand stores in Sally here for the holiday.
Susan Anderson: Okay. Great. Interesting. And then I wanted to maybe follow-up just on the strong growth in color at Sally. I think you had said that you are seeing, I guess, more new low-income consumers coming in. I guess, know, one, are you seeing more people do their hair themselves, and is that guess, you think being driven by just their wallets being stretched and you know, wanting to save some money on that front? And, I guess, are these new consumers as well to Sally? Are they just coming back? And then, you know, while they're in the stores, I guess, you seeing them pick up other products in the stores when they do come in to buy color?
Denise Paulonis: Yeah. So we love what's happening with color. In Sally. I'd say the great thing is that we are seeing new reactivated and existing customer growth. When we think about the new customer growth, we think there's an extra benefit from licensed Colorist On Demand. When that customer can get support from an expert to get confidence in what is really a high-stakes category that going to go purchase and take on in your own DIY endeavor. We're seeing that customer come in, and that is fueling some of the growth in the model there's no doubt about that. You know, secondarily, when you think about the customer and them trying to manage their budget, no matter what income level you are, doing your hair in a salon all the time is a very expensive proposition. We recently did a survey, and out of the 61% of customers who told us they color their hair, it was quite fascinating that 25% of them do it just DIY. 25% of them split their time between DIY and salon. So think about that as they might get a big update at the salon and they might do touch-ups at home. And with only that remaining 11, 12% that actually said I only go to a salon. So our ability to have them understand how we can help them get that better out things like our in-store support and our LCOD, we think is driving people into the store, complemented by a great lineup of products and really easy accessibility.
Susan Anderson: Yeah. Great. Thank you so much. Good luck with this holiday.
Operator: Our next question comes from Simeon with Morgan Stanley.
Laureen Ng: Hi, this is Laureen Ng on for Simeon. Thanks for taking our question. Our first one is on the longer-term outlook you provided this morning. Just curious as your fuel for growth initiatives wind down this year, what gives you confidence for achieving that longer-term outlook for the EBIT dollar growth of 3% to 5% range?
Denise Paulonis: Oh, yes. Yeah. The longer-term algorithm that we've set forward, you know, certainly, you're seeing this fiscal '26 is on the path to that. Again, a big part of that is our growth drivers on the top line, which will help flow through to the bottom line. But then also adding to that is the full further opportunities within our Fuel for Growth program. Which we've got more runway on our supply chain optimization, further opportunities within our vendor negotiations, as well as the combination of own brand penetration continuing to increase.
Laureen Ng: Okay. Great. Thank you. And then just a shorter-term question. On the Sally side, it looks like transactions are still a little bit soft. Can you help us understand how you're thinking about maybe traffic versus ticket? For 26 as it relates to the Sally segment and maybe how your initiatives are positioned to reignite growth for both in '26?
Denise Paulonis: Yeah. Transactions in the Sally segment in the fourth quarter were pretty much flat, and our 1.5% sales growth came from a contribution of AUR and ticket coming into the stores. That's actually an improvement from what we've seen of late where traffic had been a bit more particularly on that lower-income consumer side of the business. Looking ahead, into 2026, we expect all the metrics will improve and continue to grow, right, in driving transactions will really be things around our performance marketing and attracting new customers into the fleet, the strength of our personalization and how we continue to enable and fuel that customer insights to really drive customer frequency. And then when we think about the basket itself, this focus on cross-category shopping is a primary effort that we have going on within our stores that I think is complemented nicely by new innovation coming in and the continued driven the continued success in our digital strategy that we've had of late.
Laureen Ng: Okay. Great. Thank you.
Operator: Our next question comes from Sydney Wagner with Jefferies.
Sydney Wagner: Hi. Thanks for taking our question. Can you just share a little bit more about your expectations for category growth? That are underpinning that long-term net sales growth range? Curious kind of what trends and innovations you maybe are expecting to drive the category. And then maybe just an update on the promotional environment. What you saw during the quarter, and maybe what you're expecting into 2026. Thank you.
Denise Paulonis: Yeah. So when we think about the long-term growth of the business, we believe color is still going to be at the core of both of our businesses. And we would anticipate continued nice growth in that space. You know, when we look beyond, you know, we're looking to have in the Sally business, care and nails really continue to gain traction. Nail and what we're working on in the Sally Ignited stores is quite dramatic and quite exciting for us and what we're delivering. And on the BSG side, the innovation flywheel, particularly on the care side of the business, is quite strong. But I think the part that's exciting in our long-range plan is how we're working on further category expansion. So when we think about that on the BSG side, we're starting to test into Skin and Spa, which not only can be bought by our existing beauty professionals that are coming into the store, but can expand our base to talk more to estheticians and what they need for their business. And on the Sally side, you know, the opportunity to understand how cosmetics, fragrance, men's grooming can play a larger role in the box and online is gonna be an important part of that category side of growth as well. So all good things that are underpinned by our ability to activate the customer, harvest digital value overall, and then our new growth pathways can help us advance that as well. And then your other question on promotional levels and what we saw in the fourth quarter. In general, I'd say levels for us were fairly similar year over year at both businesses. A little bit of nuance underneath that. You know, Sally running more promos but shorter days. So that idea of, if this is important to you, there is an expiration time on when you can come in and get a certain offer is been something we've been working on. And then BSG ran a little bit heavier in promo, but a part of that as well was strength of what we've been able to do with a lot of our brand partners in terms of preparing for the holiday selling season as we were approaching into the quarter. So we felt good about that. I think one thing that's really interesting that we're doing in Q1 here and the holiday on the Sally side is trying to move the customer a little bit more on the emotional reason to shop with us. So we've historically done more buying the bulk promotions, buying save promotions. And the holiday message platform that we have out there now, which is save while you skip the salon, is really the emotional appeal to say, how can you get the outcomes that you want when your budget might not be able to be perfect to be able to afford all of that? We're really looking to see how that resonates with the customer and are excited about it.
Operator: As a reminder, if you'd like to ask a question at this time, please press 11 on your touch-tone phone. Our next question comes from Olivia Tong with Raymond James.
Olivia Tong: Great. Thanks. Good morning. Great to hear your confidence in providing the long-term targets. So can you talk about the underlying category growth assumptions embedded in those targets, your market share assumptions? And then how you think about the contribution of existing doors versus some of the newer categories and doors that you're expanding into or entering? And then specific to Q1, the guide is a little bit lighter than we had expected and would be a deceleration versus Q4. You also expect things to improve as the year progresses. So can you talk about the headwinds that you're seeing in Q1 and then how you plan to build over the course of the year to give you the confidence despite the volatile backdrop? Thank you so much.
Denise Paulonis: Yeah. Maybe I'll actually do this in reverse order. So I think first and foremost, when we think about Q1, I want to reemphasize we feel great about the underlying momentum in the business. What we've seen in terms of licensed colors on demand, innovation, performance marketing, personalization, we think are all very strong. For the full year, when we think about what underpins that, we assume that the consumer behavior and spending would be very similar to what we saw in 2025, which is choiceful, but resilient. And we still think that that's the case. You know, we are realistic that we do expect that we will have seen some incremental pressure on lower-income consumers in Q1 from the government shutdown. Right? Just the fear of the nature of when I'm getting that paycheck, you know, has an impact on lower-income consumers. And so, you know, we're hoping that we're gonna be past that very soon, but it's reflected in the expectations for the quarter. You know? And I think importantly, the model has really proven resilient with the hair color category at the core. It's really a staple category rather than the discretionary category. So strength there, and we'll remain nimble to respond to changes as the customer starts moving into the selling season. I think on the top line, what the other important part to note is that we move into Q2. We actually are up against an easier compare to last year. So while it's our smallest quarter, recall last year, there were a lot of transitory events whether that was the announcements around tariffs, the very high flu season that hit our stylists quite hard. So we expect Q2 to be a stronger category, because of what we're lapping there. And then the back half of the year to be, you know, on trend and on the base of the business. So I think what we're just doing is we're watchful about how that consumer is spending through this government shutdown period, which is what you're seeing in our Q1 expectation. And your bigger question, I think, was about long-term growth. And what is supporting our long-term growth drivers and that 1% to 3% top-line growth. And our guidance suggests that we'll be on the low end of that range as we move through the year. I talked about on the call, the four key pillars that we're really focused on, which is understanding and activating the customer, unlocking and harvesting digital value, you know, differentiating with products assortment and innovation, which includes category expansion. And then accelerating new growth pathways, which importantly is our Sally Ignited program as well as Happy Beauty. You know, when I think about where we are in the cycle of these different initiatives, I think the thing to think about is all of these are proven track record in what we delivered in FY 2025 with about 250 basis points growth coming of those from comp. In terms of pacing and how we see the progression of impact right, I think what's important to think about is, as we go into '27 and '28, what customer activation can do for us. And this understanding of the customer, being able to respond to that, incorporating how artificial intelligence can help us on that curve, we think the impact in personalization, performance marketing, and our LCOD campaign. I can't overstate the opportunity that we see there and what we're working on and delivering. And then secondarily, I would say is the other big opportunity as you look to the later years within that long-term guidance range. You know, we're already working on how to work how to think about this. So in BSG, we're sampling into Skin and Spa. We're excited about seeing how our customer reacts to that and that ability to attract a new aesthetician customer. And how we might be able to grow that business meaningfully as we look to future years. And then in the Sally side of the business, you know, we think that there's a lot more runway in the nail portion of the business the way that our Sally Ignited stores bring nail to the forefront in terms of what a new customer can experience coming in. We think there's a lot there. And then we expect that we will also start to more meaningfully play in categories like cosmetics and fragrance. In Sally, as well as men's grooming. So that's going to be some things that are gonna go on our growth curve. We expect that we will continue to extremely strong performance in color. It is the core of what we do and the expertise that we have. And then with these other categories of providing underlying growth, our confidence in that 1% to 3% top-line growth is quite solid. I think there's a lot of things underpinning that just for the Sally business as well that when you think about the global scale we have, as well as sticky customers, and great high NPS scores. And we think we're really on the path here to giving those customers what they want and being rewarded in return.
Olivia Tong: Great. Thank you. Just one follow-up on what's on BSG. You had mentioned how stylists are buying closer to demand just in time. Imagine you're pretty adept in terms of providing to them. So can you talk about what you're doing to support that given that you have that footprint and capability to do that?
Denise Paulonis: Absolutely. So I think the great thing and the strength here is with 1,300 stores across the country, our stylists can easily access us and then we can easily support them. So in addition to being able to come directly into the stores, we do offer two-hour delivery. So if you're engaging digitally and need that product right away, we're there and offer that service for you as well as buy online, pick up in store. For our customers who buy in larger quantities, our full-service portion of our business is still there, to actively serve our customers, and pull through. I think what we're excited about is to make things even easier for our customers a little bit later into 2026, we're actually relaunching our app. And our stylist is heavily engaged in the app. If you ever sat behind, you know, got your haircut, they're on their phone, all the time. It's how they place their orders. It's how they write down what they need. It's they think about how they're gonna serve their customers. Our ability to have that app be more intuitive, faster for them to be able to build a basket so that whether they want to buy online, pick up in store, whether they wanna come shop in store, whether they want us to deliver that product to them, we can handle that in all the ways that we need to. But that idea of supporting speed to market to that is very important to us.
Olivia Tong: Great. Thank you. Best of luck.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Denise Paulonis for closing remarks.
Denise Paulonis: Well, thank you for joining us all today, and thank you to our teams around the world for delivering a strong quarter and a strong year. But most importantly, supporting our customers and helping them get the looks that they love what they like to achieve in their own personal life. So thank you to everyone, and an early happy holidays. And we'll talk to you again next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.